Operator: Welcome to the Whirlpool Corporation's second quarter 2009 earnings call. Today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to the Director of Investor Relations, Greg Fritz.
Greg Fritz: Welcome to the Whirlpool Corporation's second quarter conference call. Joining me today are Jeff Fettig our Chairman and CEO, Mike Todman President of Whirlpool North America, and Roy Templin our Chief Financial Officer. Before we begin, let me remind you that as we conduct this call we will be making forward-looking statements to assist you in understanding Whirlpool Corporation's future expectations. Our actual results could differ materially from these statements due to many factors discussed in our latest 10K and 10Q. During the call we will be making comments on free cash flow, a non-GAAP measure. Listeners are directed to slide 32 for additional disclosures regarding this item. Our remarks today track with the presentation available on the investor section of our website at whirlpoolcorp.com. With that, let me turn the call over to Jeff.
Jeff Fettig: As you saw earlier this morning, we did release our second quarter financial results, which I'll now take a few minutes to summarize. Overall, net sales for the quarter were $4.2 billion down 18% from prior period year. The decline was driven by unfavorable foreign currency translation and sharply lower unit sales volumes in both our North America and European regions. Excluding the impact of foreign exchange, revenues declined by approximately 10% for the quarter. Our EPS came in at $1.04 per share compared with $1.53 that we reported last year. We saw strong year-over-year improvements in our North American and Asia businesses where our operating margins also improved. Operating margins remain strong in Latin America and declined in Europe. For the quarter, we delivered free cash flow of $174 million despite sharply lower production volumes. That takes our year-to-date free cash flow to minus 197, which is inline with our expectations at this point in time at midyear. I'm going to turn now to slide four, which summarizes and provides you an update on the key factors that we've been referencing throughout the course of this year on our business. On the positive side, we continue to make very significant progress on our total cost reduction targets. When we assessed the economy late last year, we took aggressive actions to counteract what we saw as a potential for significant demand reductions, high foreign currency volatility, and severe changes in the financial markets. We eliminated substantial costs across the enterprise and these improvements to date have helped us to mitigate the impact of the double-digit revenue declines. In addition to the cost area, we've successfully executed our plans to improve our price mix. This has been through selecting price adjustments and very strong mix driven by our new product innovation. During the second quarter, our margins were favorably impacted by 2.3 points of positive price mix management. As we indicated on our previous call, we expect price mix to remain a positive factor for our full year results. However, given the fact that we're now comping against significant increases in the second half of last year, we do expect the affect to be less positive in the second half than its been in the first half. We do continue to see demand material crisis in currency having a negative impact on our business for the balance of the year. We are, however, seeing some positive trends in certain material costs since our call. In order to sum it up, I'd say the factors affecting our business in the first half of the year will continue throughout 2009. We will continue to focus on cash generation and cost reduction efforts across all parts of the business in order to minimize these factors having an adverse affect on our business. At the same time, we will continue as we have in the first half to appropriately invest in new product innovation and continue the cadence of bringing new consumer relevant innovation to the marketplace around the world. Now, I'd like to spend a moment on our regional unit demand outlook for the year, which you can see on slide five. In the U.S., we continue to see signs that demand is somewhat stabilizing at much lower levels. Our expected industry to volume decline forecast remains at between minus 10% and minus 12%. In Europe, we've updated our projections and we now expect volume should decline by about 13% versus our previous estimate of 10%. During the quarter, we saw weakness throughout the entire region with Eastern Europe remained especially weak. Turning to Latin America, we now expect the Brazilian appliance industry unit volume growth of 10% growth versus our previous expectation of flat to down by 5%. Much of this growth in the second quarter was primarily due to the sales tax reductions on appliance purchases. As we discussed on our last call, the Brazilian government initiated a program in April aimed at stimulating appliance demand by reducing the sales tax levied on product. We're seeing the positive effects of this demand as resolved this program throughout the second quarter. Across the Latin America region, we continue to see sharp appliance demand declines in our other Latin America markets outside of Brazil and in our global compressor business. And as such, overall for the regions while these trends will largely offset the strength of Brazil, we do expect demand to be approximately equal to last year. In Asia, we expect our 2009 industry unit growth to be flat to up 5% versus our previous estimate of flat to down 5%. The growth we saw in the second quarter is primarily due to improving macroeconomic environment and our relative strong performance across the region. I'll now turn to slide six. While we continue to face a very challenging and a very volatile economic environment, we have taken very aggressive actions over the last several quarters to restructure our business. We continue to align our capacity and resources toward the million levels. We're beginning to see the positive impacts from those actions as we continue to aggressively execute our plan to ensure that we succeed and deliver in this very difficult environment. We've updated our earnings forecast. We now expect earnings to be in the range of $3.50 to $4 per share this year versus our previous guidance of $3 to $4 per share. Our free cash flow guidance remains the same at $300 million to $400 million and that, again, remains unchanged. In a moment Roy will go into more detail on our free cash flow. At this point in time, I'll turn it over to Mike Todman to give you an update on our North American performance.
Michael Todman: I'll begin by reviewing North America's performance in the second quarter. As shown on slide eight, our net sales declined 17% during the quarter to $2.4 billion with the U.S. industry demand for T7 appliances declining approximately 14%. Excluding the impact of foreign currency exchange, our sales decreased 14%. During the quarter, we realized an operating profit of $120 million compared to $101 million reported in the prior year. The improvement in profit was due to favorable product price mix and our ongoing cost reduction initiatives. Results were partially offset by significantly lower production levels and unfavorable foreign currency fluctuations. We realized strong margin improvement during the quarter despite the substantial sales decline. Our operating margin for the quarter expanded to 5% compared with 3.5% in the prior year. Turning to slide nine, I'd like to take a moment to dive a little deeper into the progress we've made on our cost reduction initiatives. As Jeff mentioned, we've reduced product cost and achieved savings in non-product areas as well. A good example of this is the work that we've done on the SG&A side. Here you can see the SG&A reduction in North America during the first half of the year. In this quarter alone we achieved a 27% SG&A cost reduction. And we will, of course, continue to take aggressive action for the balance of the year. Turning to slide 10, we outlined our full year industry forecast assumptions. Our outlook for new home completions is essentially unchanged at a 40% decline. We now expect existing home sales to be down 5% versus our previous forecast of a 9% decline. The favorable impact of this improvement on the full year industry demand is approximately a half a point. Offsetting this slight improvement we continue to expect discretionary spending to have a negative impact on overall results as high unemployment levels and low consumer confidence persist. I would say that on balance the discretionary component of demand has been more challenging than our previous outlook suggested. As for replacement purchases, we continue to see some consumers delaying replacement purchases even for appliances that are beyond repair due to the economic uncertainty. We have not witnessed a major change in the replacement market since our last update and believe that any delayed purchases will ultimately be replaced. We continue to believe it's just a matter of time before these buyers return to the marketplace. And despite the economic situation, consumers continue to look for value that goes beyond price. They are making careful purchasing decisions and demanding high quality and relevant innovation with a focus on energy and water efficiency. We continue to offer those compelling products in the marketplace that provide the value consumers seek and this will continue to have a positive impact on the mix of products that we sell. Turning to slide 11, this chart depicts how the U.S. market has performed since 2005. The shaded areas are the 2009 contributions to this change. As you can see, we faced the most difficult comparisons versus 2005 during the first half since the industry peak. As we progress, comparisons will become less difficult and we expect the year-over-year percentage decline will decrease at a lesser rate. Of course this effect will be more pronounced in the fourth quarter as we compare with a 29% reduction since the fourth quarter of 2005. As you may recall, we had a very strong July last year and expect this will make the third quarter comparisons more difficult than the fourth quarter. Based upon what we are seeing in the marketplace today, we are leaving our outlook unchanged and continue to expect the U.S. market will decline between 10% and 12% in 2009. In summary, we are executing the priorities that we previously outlined and are making good progress in the areas of cost control, balancing our volume and price mix, and continuing to provide our consumers with innovative new products. While there is clearly still more work to do, our performance reflects the progress we've made in these areas and we will build upon this momentum going forward. With that, I'll turn the call back over to Jeff.
Jeff Fettig: I'll now turn to slide 13 and talk about our international business where you'll see our international operations continue to have somewhat mixed performance during the second quarter. The results were unfavorably impacted by exchange rates, but we did benefit, like in all parts of the world, from the significant cost reduction efforts that we've implemented. During the quarter, we saw significantly lower demand levels in Europe while both Asia and our Brazil businesses delivered very solid results during the quarter. In fact, our Asia business delivered the highest level of sales and operating profit in our history during the second quarter. Turning to slide 14, I'll talk about Europe where our total European revenue decreased by 25% in the quarter. In local currency terms it declined by 13% versus last year in a market that we estimate was down approximately 12%. We reported an operating loss of $12 million compared to a profit of $50 million in the previous year. Our results were very unfavorably impacted by currency fluctuations, lower sales and significantly lower production volumes. Our ongoing cost reduction efforts and the favorable product price mix partially offset these results. We do expect these results to improve as we see production levels more matching sales for the balance of the year. Turing to slide 15, our Latin America business, we saw revenue decline by 16% during the quarter. Excluding the impact from currency, sales increased by approximately 1%. Our appliance results reflected much stronger results from our Brazilian operations primarily, to what I mentioned before, the Brazilian government's appliance incentive offerings. We did experience weak demand for appliances in Latin American countries outside of Brazil, as well as lower volumes in our global compressor business. I would note that our Brazilian appliance business saw its revenues increase by 28% in local currency terms, and we continue to expand our leadership position in the marketplace where our brands and products remain the most preferred by consumers. Operating profit for the region totaled $75 million compared to $133 million last year. Our results were negatively impacted by unfavorable foreign exchange, significantly lower monetization of tax credits and our material costs. Partially offsetting these results were our cost reduction initiatives and refundable energy credits. Our ability to monetize tax credits was impacted by the Brazilian program aimed at stimulating appliance demand. That program originally scheduled to end in July has now been extended through the end of October. We do feel that this action by the Brazilian government has been a strong program that has substantial positive impact on demand, and we continue to believe that Brazil is one of the strongest economies that we see in the world. However this will unfavorably impact our ability to monetize tax credits largely for the balance of 2009. Our second quarter results in Asia are shown on slide 16. Here we show net sales increasing by 3%. If you exclude currency impact, sales increased 19% compared to last year. Our operating profit during the quarter was $11 million compared to $5 million last year, and this year-over-year increase in operating profit is due to higher volumes and continued cost reductions partially offset by an unfavorable country price mix. I'd also like to point out a significant event that we had in our China business last week. You'll see on slide 17, here you'll see a picture of the joint venture manufacturing facility that we opened last week with Hisense in China. The facility will produce both washing machines and refrigerators for the Chinese markets and for export. This new manufacturing center is significant for us because it provides us with increased manufacturing scale for us and adds refrigeration to our Chinese product portfolio. It also represents an important component of a global offering platform and solidifies our presence in markets with strong growth potential like we're seeing in China. At this point in time, I'll turn it over to Roy Templin.
Roy Templin: Beginning on slide 19, I'll walk you through a summary of our second quarter performance. From a net sales standpoint, we continue to see significant weakness in North America and Europe. Our appliance unit volumes actually increased in Brazil and Asia during the second quarter. As was the case in the previous two quarters, we continue to see a substantial unfavorable impact from foreign currency translation in the quarter as FX accounted for 8 percentage points of our year-to-date revenue decline. From a margin perspective, the key positive factors in our margin performance remained largely unchanged with price mix and cost reduction initiatives continuing as favorable items. Material and OEM related costs moved to a neutral year-over-year impact on our results. This marked the first time in many years were we did not experience an unfavorable variant from material cost. Unfavorable variances were related to the double-digit decline in global volumes, unfavorable foreign exchange rates, and lower BPX monetization due to the consumer tax incentives legislated in Brazil. As we mentioned to you on the last call, we projected lower BPX in the quarter and in fact we recognized $9 million of BPX credits in Q2 well below the prior year level of $47 million. Finally, we had one notable item related to an $11 million energy refund from a Brazilian utility supplier. Turning to the income statement on slide 20, during the quarter we reported revenues of $4.2 billion down 18% from the previous year. The unfavorable impact from foreign currency translation accounted for eight points of the decline and was predominately related to the appreciation of the dollar against the Brazilian Reais, the Euro, and the Canadian dollar. Our gross margin declined 1.5 points to 13.3% for the quarter. Our gross margin was negatively impacted by foreign exchange transaction losses, which accounted for eight-tenths of a point in margin decline. Lower BPX accounted for another 1.0 point of margin decline, while lower net productivity from reduced volume levels had an unfavorable impact on our margins as well. On the positive side, we realized 2.3 points of price mix contribution to our gross margin during the quarter and continued to see savings from our previously announced cost reduction programs. SG&A continued to be a good story at Whirlpool, as we reported SG&A $112 million below the prior year level. Approximately one-quarter of the dollar decline was due to the effects of foreign currency translation, while the balance of the improvement was related to cost reduction initiatives and lower business activity. Notably, our SG&A improved as a percentage of sales to 9.3% from 9.9% in the previous year, despite the significant drop in revenues underscoring our progress in cost reductions. During the quarter, we reported $23 million of restructuring charges compared to $40 million in the previous year. The most significant restructuring program during the second quarter related to the closure of our Shanghai facility and the startup of our new joint venture that Jeff touched upon earlier. Operating profit totaled $134 million compared with $203 million in the previous year. Unfavorable foreign currency exchange rates resulted in a negative impact of $71 million on our operating income during the quarter. Considering this impact, as well as double-digit unit volume declines and a substantial reduction in BPX credits which we monetized, we feel good about our operating results. Specifically, we made strong progress in the areas of price mix and cost reduction to mitigate substantial negative macroeconomic effect. Turning to slide 21, we recorded $58 million of interest expense compared with $49 million in the prior year. This increase and interest cost predominately reflects higher average borrowing cost and overall higher debt levels. Offsetting this unfavorable impact was a $12 million reduction in our interest and sundry expense from 2008. As you may recall, we recorded cost related to a legal settlement in the second quarter of 2008. This favorable impact was largely offset by legal cost related to an ongoing anti-trust investigation. The year-over-year improvement was made of several small items that provided a net benefit when compared to the prior year. Moving to our tax rate, we reported an income tax benefit of $22 million during the quarter compared to an income tax expense of $2 million in the prior year second quarter. The year-over-year benefit is predominately related to lower year-over-year pretax income levels and the corresponding impact of various tax credits. Slide 22 summarizes our key working capital balances for the quarter. Our working capital balance improved during the second quarter compared to the prior year on a total dollar basis. As a percentage of sales, however, it increased 2.4 points as sales declined substantially relative to the prior year. Our inventory balance was down on both a sequential and year-over-year basis during the quarter, as we continued to make progress towards our full year inventory reduction targets. The most significant unfavorable variance was largely driven by accounts payable. As you know, we continued to run production levels below demand levels during the second quarter and this has equated to reduced purchases. We did see some sequential improvement in payables and expect this to continue as the year progresses. Now, I'd like to take a moment to discuss our free cash flow performance on slide 23. For the quarter, we reported free cash flow of $174 million compared to $262 million in the prior year. The year-to-year reduction in free cash flow is largely attributable to two main areas, lower overall cash earnings and higher cash restructuring payments, when compared to the prior year. Mitigating these somewhat were an increase in cash flow from working capital, lower capital expenditures, and an increase in proceeds from asset sales. For the full year, we continue to expect capital spending in the range of $450 million to $500 million. Turning to Slide 24, I wanted to update you on our liquidity position given our recent note offering and second quarter free cash flow performance. Overall, our net liquidity improved substantially in the second quarter as we completely repaid our revolving credit facility and grew cash on our balance sheet to $247 million. Given our successful issuance of $500 million of five year notes and $350 million of three year notes, we were not only able to refinance our $200 million note that matured in June, but we effectively turned out our revolving credit balance. On slide 25, we depict our term debt maturities and highlight our recent note offerings in green. As you know when we entered this year, increasing our financial flexibility was a key initiative and we have increased our flexibility substantially with our recent note offerings. This offering, coupled with our expectation to generate $300 million to $400 million of free cash flow for the full year, provides us with substantial flexibility to execute our restructuring initiatives and fund our new product innovation pipeline. Finally, I'd like to turn to our outlook summary on slide 26. As Jeff mentioned, based upon current economic conditions and our business plans, we expect to earn $3.50 to $4 per share during 2009. This change is largely driven by our year-to-date performance. Given the dynamic nature of the marketplace, we have seen some movement in many of our assumptions for the second half, and most notable is the Brazilian legislative decision to extend the tax reduction incentive program through October 31. While we expect this to have a positive impact on demand in Brazil, our full year global volume outlook is largely unchanged given the weakness we are experiencing in Europe and countries outside of Brazil in Latin America, which continue to see substantial decline in demand. As was the case in the second quarter, this tax incentive will only allow us to monetize a nominal amount of BPX tax credits. This will result in a substantial reduction in contribution to our second half results versus our previous outlook.  In addition, we see slightly lower price mix for the full year. While we continue to see a very positive price mix effect for the year, we do expect this to abate as we have a very difficult price mix comparison this second half of the year. Offsetting this impact will be a positive contribution from material and oil related cost. Our full year outlook is for an unfavorable $40 million for the full year compared to our prior outlook of approximately negative $150 million. On balance, when we look at all of our key operational drivers, we now expect earnings per share in the range of $3.50 to $4 for the full year. With that, I will turn the call back over to Jeff.
Jeff Fettig: Let me take a minute now to sum up our comments today. Overall, we've seen the second quarter, and really the first half of the year, largely play out in line with our expectations. This clearly continues to be a very volatile global economic period. Today our largest markets, North America and Europe, have been most impacted, as seen by the double-digit declines in demand. Our big emerging markets of Brazil, India and China seem at this point in time to have recovered and today we're seeing very strong growth. Through midyear, as we said we would in February, we remain very focused on three things. First is driving significant cost reductions across every part of our business. Second, executing well in all markets and driving the right economic balance between value and margins. And third and importantly, ensuring our financial strength by driving improvements in our cash generation and successfully placing our $850 million in three and five year debt. To date, although a very challenging environment, we are very much on track to deliver our annual plans to guidance, and I'm very pleased with how our organization has responded to these severe economic challenges. We don't expect these challenges or the volatility to change soon. Our overall review remains the same. We do believe that the second half demand levels will improve, although they will still remain negative, but at a lesser rate. We will continue to remain focused on our strong actions required to significantly reduce costs, lower our breakeven levels, invest in winning consumer innovation and generate cash. Our success in executing these priorities will further improve our financial strength and I believe position is very well [inaudible] as we will see demand levels normalize over time. So I'm going to wrap up there now and open it up for questions.
Operator: (Operator Instructions) Your first question comes from David MacGregor - Longbow Research.
David MacGregor – Longbow Research: You guys seem to be doing a nice job in terms of managing your costs through this downturn, so congratulations on that point. Jeff, I wonder if I could just get you to address a point that you didn't cover in the call, and that is the Sears relationship and what happens with Kenmore in 2010? That's probably the issue on most investor's minds these days and just wondering if you could give us some sense of magnitude with respect to earnings and revenue impact.
Jeff Fettig: Well, David, within some parameters we have to give you some color. Let me actually have Mike do it. Mike manages that business.
Michael Todman: Yes, David, first of all I'd tell you that our relationship with Sears is strong and I think we both feel very good about our business. And just to point out, we still have a contract in place for 2009 and we do except that we won't see any significant change in volumes from that this year. As we talked about earlier, we said that we expected to see some small volume decline in our OEM businesses as we went into 2010. But I can tell you both, we and Sears, evaluate all of our business based on the value that we can create. And so we are comfortable that we will be able to offset any potential declines in that OEM business with our brands, and that we can do that because we feel good about strong pipeline of innovation that we have coming and the fact that we are pretty comfortable with our position in the rest of distribution. The other thing we ought to note is that this business that we have with them, we evaluate on an ongoing basis. It's not at any point in time fixed and so we feel good about our position in 2010.
David MacGregor – Longbow Research: I guess two follow-up questions. Number one, how long or what period of time would it take you to make up what you would expect to lose in Kenmore through your branded business? Is that a couple of years or maybe you could quantify that for us. And well maybe just address that for us, please.
Michael Todman: Yes, just to be clear when I say we can make it up I'm thinking about we won't see any substantial changes at all in our business. So, you would say on an immediate basis and over time clearly we expect our business to grow.
David MacGregor – Longbow Research: Is it definitive at this point or is the volume of the impact still up in the air? To what extent is there still some uncertainty around this?
Michael Todman: There's always ongoing discussions and there's always ongoing evaluations of the business and the opportunities that are available, and both companies evaluate that based on our abilities to create value and that will continue to happen.
David MacGregor – Longbow Research: So as you lose Kenmore volume, you make that back with a greater share of the Sears floor?
Michael Todman: Our branded business at Sears continues to be very strong, and so we feel very good about the progression of that branded business on Sears's floor. But I will tell you our branded business with the brands that we have are also doing well in the rest of distribution. And so on both counts, we feel very good about that.
David MacGregor – Longbow Research: Just a second question if I may on the replacement demand, you addressed that on the call. I'm wondering if you could just quantify the extent to which you believe we've got some pent up demand here and what would be your expectations with respect with your ability to realize on that maybe over the next, say, six quarters?
Michael Todman: Well, I can tell you I wish I had a crystal ball that could tell you how the market's going to change next year. I think there is a fair amount of pent up demand, but to quantify that would be very difficult. We're not expecting and I'm certainly not expecting to see a significant drive-up in terms of demand, but it will improve.
Jeff Fettig: David, you hear that from certain retailers, you see it in longer term service parts where the run rates, which means somebody maybe fixing something that they wouldn't have done. There's no hard data on that, but there's a lot of signs that this is going on.
David MacGregor – Longbow Research: Just quickly one final question on Europe, what are the prospects for a return to profitability in the second half?
Jeff Fettig: I fully expect them to do that.
Operator: Your next question comes from Jeff Sprague - Citigroup Investment Research.
Jeff Sprague – Citigroup Investment Research: Could you address, Roy, what was going on with the LIFO adjustments in the quarter? I assume that went through the P&L and will there be more of that in the back half of the year?
Roy Templin: Yes, I sure can, Jeff. First of all from a LIFO perspective, every quarter we estimate what we think the annual impact will be for LIFO, and a couple of areas that impacted the second quarter. First of all, to your question with respect to where did it come through. We did see a $10 million favorable adjustment that is recorded in our cost to goods sold. And, Jeff, that reflects about half of our annual estimated change in a LIFO reserve, so why. The why comes from, we saw a couple of areas. One, we saw a deflation in material costs relative to our prior estimates, and we had some deflation in some purchase product areas and, as you know with LIFO you have to look at it LIFO pool by LIFO pool. But when you netted those two together, we estimated at midyear that we would have about a $20 million benefit as a result of that and that deflation. In essence what we did, Jeff, in very simple terms of course, LIFO means that you run your most current costs through the P&L. And in that vein we in essence had to book a reduction in our LIFO reserve or a $10 million reduction to our costs to reflect the latest costs that we're actually seeing right now through our product production.
Jeff Sprague – Citigroup Investment Research: So if materials continue to reverse to the downside, though, we could presumably expect to see some pretty big benefits there later in the year or into next year?
Roy Templin: You could expect to see further reductions, again as I said, this is our estimate at midyear with the numbers we have now, but you're right, we could have more favorable impact if in fact we continue to experience deflation that's greater than what we estimated here at the midyear. That's correct, Jeff.
Jeff Sprague – Citigroup Investment Research: And you characterize price mix in terms of its margin impact. Can you give us some color on the top line components of price and mix?
Roy Templin: From a top line perspective for the company when you look at our consolidated change, basically we were down 17.9% year-over-year, 10.2 of that is volume related, 8% is currency, just over 100 basis points, Jeff, is price mix. It's about 1.1 and then we had eight-tenths negative as a result of lower BPX, which as you know, is recorded on the sales line. Now, the price mix is probably a little bit less than what you would intuitively expect to see when you think about margins, and that's coming from the mix of business that we had year-over-year. Again, the ASVs in the North American businesses are much higher than what they are in international businesses, and we saw, Jeff, about a four point shift in terms of more international relative to our total sales base, which sort of skews this price mix number on the top line.
Jeff Sprague – Citigroup Investment Research: And you commented about price mix getting more difficult as it relates to the comp on a year-over-year basis, but you actually see absolute price mix eroding in the second half relative to what you had in Q2?
Roy Templin: We actually, in our guidance, Jeff, we have assumed about two-tenths to three-tenths of a reduction in our overall price mix relative to where we are today. That is correct.
Jeff Sprague – Citigroup Investment Research: And then just finally from me, I just wondered the staying power of the incentives in Brazil. Maybe it's still early days, but was there a big front end pop and then a waning influence or is it steady state strong across the last few months?
Roy Templin: It's been a big pop and it stayed there to date. Extending it through October, will it stay there through October, I doubt it. I do think this really got a lot of publicity. It stimulated a lot. We think it will have a positive impact, but I personally don't expect it to have this staying power through October.
Operator: Your next question comes from Sam Darkatsh - Raymond James.
Sam Darkatsh – Raymond James: Three questions, first off the raw materials being a benefit to your prior expectations as of the tail end of October, specifically where are you seeing that? It looks like the spot or market prices for most materials have actually inflated since the end of April. So I'm just curious as to whether it was a specific contract that may have triggered something or what have you, but where specifically are you seeing the benefits from a raw material standpoint?
Jeff Fettig: This is Jeff. The way I would describe it and first of all comparing to year-over-year. So in the first half of last year remember we had a huge run up in the second half of the year across steel, oil, base metal, etc., and then many of those things turned. So as we look at it now and the change in our estimates, steel somewhat stable I would say, but it's certainly down from the second half of last year. For the full year I'd say it's roughly flat. And oil related are lower and, again, we know a year ago we had nearly a $150 barrel of oil came down late in the year, but now it's going back up. So oil is still a wild card in this. Base metals came way down. We were above the line because of our hedges, now they're going back up. So we'll have a crossover at some point in time in the year. And then in total strategic components are up. So we really kind of assess this based on the usage, there has not been major contract changes I would say. So as we've estimated this, and that's where Roy talked about $40 million to $50 million, I'd say that's at any given time with [inaudible] probably got $50 million plus or minus to it right now just depending on what happens to base metal and what happens to oil.
Sam Darkatsh – Raymond James: But the $110 million Delta from where you were looking at it just two or three months ago, that primarily came from where? You were looking at $150 million and now its $40?
Jeff Fettig: I would say our average estimate for steel is down. Our average for the year estimate for oil related is down. And I would say given that we're hedged at higher prices in the first half of the year on base metals probably our net average base metals will be a little bit down.
Sam Darkatsh – Raymond James: Second question, I think you have a pretty significant initiative underway to [commonize], if that's a word, a great many of your platforms and gain a lot of efficiencies that way. Where are you in that process and how would that whole initiative likely manifest itself from a P&L standpoint and particular in 2010? You're going to have better productivity, perhaps better share gains there might be some higher CapEx. How does that initiative affect things as we look at it?
Jeff Fettig: There's really a couple parts to that. One is our global product redesigns where we're more and more moving to global platforms that we use in multiple regions with multiple manufacturing sites. That by definition will drive [commonization] of designs [inaudible]. Generally, with these major platform changes, they are designed more efficiently with less material. So, as you see the new product launches that Mike and others have talked about, a large number of those are coming out, and that will continue because we've continued our investment pattern this year on that. We have some very major impacted launches early to mid next year, which will continue that. With that and also independently, we are very aggressively [commonizing] components globally. And I'd say it has a substantial impact on our ability to reduce costs. We're tracking very well on it this year and we will continue to have sizable gains from that next year.
Sam Darkatsh – Raymond James: So we should anticipate that productivity will be up next year all else equal because of this or would it take a year or two to take hold?
Jeff Fettig: I'm not forecasting anything for next year yet. I would just say that our focus on cost initiatives and productivity, I don't anticipate will lighten up at all.
Sam Darkatsh – Raymond James: Last question, if I might. Could you give some color as to the unit performance by region?
Roy Templin: From a North American perspective, again, units will be down 16.8% year-over-year. In our European business, units are down 13.6%. Latin America broadly is up 6.1%, and in Asia Q2-over-Q2 is up 17.6% year-over-year.
Operator: Your next question comes from Laura Champine - Cowen and Company.
Laura Champine – Cowen and Company: Got a couple of questions about share outside of North America, can you comment on the trend in Europe and what made the impact in your share there and the direction. And also the unit numbers you just gave for Latin America implies pretty horrid results outside of Brazil. Can you comment on that and what your thinking is on volatility in Latin America outside of Brazil as we move through the rest of the year?
Jeff Fettig: I'll do that. Let me start with Latin America. First of all, in Brazil we had a terrific quarter good run rates. We're performing well in the market. I don't have the exact share numbers, but I'd say we're gaining some share in the Latin America market given our position. Let me next talk about our compressor business. Our compressor business really mirrors the global refrigeration business, which was significantly down due to two reasons, one is demand and the other is inventory adjustments. So our business was down more than demand, if you will. Just like when we're taking inventories down. We're seeing that crossover point appears to be taking place now at midyear where I think compressor declines will mirror the global marketplace. So I see that lessening. In fact we saw it in June, and we expect to see it for the balance of the year. The 31 markets outside of Brazil, which account for about 50% of Latin America, are down significantly, and it's hard to kind of give you a good picture there because there are so many different examples. Venezuela versus Colombia versus Chile and Argentina, but that business is down. And I guess I would say that it's a little bit more unpredictable. It's a little less structural business and more subject to big changes in both directions. It's a very profitable business for us, and we continue to have that profitability, but the demand is a little bit more volatile.
Laura Champine – Cowen and Company: And then in Europe, Jeff, if you can comment on share –
Jeff Fettig: Europe, through midyear based on external data, we're roughly holding share or picked up a tenth or so. It's basically flat.
Operator: Your next question comes from Eric Bosshard - Cleveland Research.
Eric Bosshard – Cleveland Research Company: A couple of things, first of all the unit dynamics in Europe and North America are pretty similar, but the margins in North America are expanding pretty meaningfully and you're losing money in Europe. Can you explain what the difference is?
Jeff Fettig: First of all, the U.S., well really the whole North America market it's actually now the fourth year of decline, if you will. And the way I would describe it is our actions have caught up and are now exceeding the negative impacts of external effects, and we're moving across all fronts. We're radically reducing costs. We're managing price mix very well, and those positives now are net outweighing the negatives. Europe started much later. We saw the falloff in decline really beginning last September. So it started later. It was much more profound than we thought, and I would say through the first half of this year our actions have not yet caught up with the impact of the negative effects. I think that will happen in the second half of the year. The other structural issue in Europe is just fixed costs are high, they're expensive and they are [inaudible] but that is not deterring us from taking the actions we need to take to get this business back on track.
Eric Bosshard – Cleveland Research Company: So does that mean that Europe, like this should be the worse year-over-year in absolute profit performance out of Europe?
Jeff Fettig: If our beliefs about demand and other things were true, I would say yes. My only caveat there is there is so much volatility on every part, I would never say never, but it's as bad as we've seen and I hope it's as bad as I expect to see.
Eric Bosshard – Cleveland Research Company: The second question in terms of the Brazilian situation, I know in the past you've insisted about the sustainability of recognizing those BPX tax credits. Do you still have that conviction or is the Brazilian government perhaps looking at things differently in regards to what's happened in this quarter? Does that make you feel any different about that?
Jeff Fettig: Not at all. This is simply the vehicle for monetization and suspending that vehicle and stimulating the economy was completely independent action. And those credits now instead of being used to continue to grow based on interest and currency and so on. We simply will have a bigger, assuming today's currency and everything we'll simply have a bigger credit at the end of the year. So when the IPI is reinstated, we start monetizing again the way we have before.
Roy Templin: Jeff's precisely right and, again, we're not saying that we won't monetize any BPX tax credits. It's just that we'll monetize a much lesser amount because, as you know Eric, when you buy raw materials, there's an IPI tax on the material purchase, which ends up being a receivable. And then, of course, when you sell product you have this IPI tax payable. So what's happening, the dynamics in our business right now are such that we just have much less of an overall payable for which to monetize the BPX credits, but it no way has changed our ability to monetize then going forward. We'll file our Q this afternoon, Eric, and you'll see in the Q the balance of BPX's is about $623 million. Now the increase from the end of the year is almost all attributable to the appreciation in the Brazilian Reais from 12/31 plus a little bit of interest accretion. But we still anticipate being able to monetize those over time.
Operator: Your next question comes from Michael Rehaut - JP Morgan Securities.
Michael Rehaut – JP Morgan: First question on the guidance, I was wondering if we could just drill down on a few areas. First off any commentary, you raised the low end of the EPS guidance but didn't do so for the free cash flow guidance, if you could walk through the delta there.
Jeff Fettig: I'll start at a high level. Given our first half performance, I mean we are on track with our plans. There are a lot of moving parts but we felt, given what we've been able to deliver thus far even with the uncertainty looking ahead, that we felt comfortable grazing the bottom end of our guidance up to $3.50 per share. There still are uncertainties. We're very confident now about what we're doing. We're less confident about some of the demand in currency and even material factors out there and that's why we left the upper end where it is. On the cash, I would say there are a number of other factors in the play there such production levels, which is the big one for us. You saw at midyear our biggest delta was payables. The reason it was, was because we took so much production down. When that flips, and it is flipping in parts of the world, we'll see a very sizable positive change in our free cash flow, but there's just more things that impact that but we felt comfortable keeping the same range that we had then.
Michael Rehaut – JP Morgan: Couple of other questions on the guidance, if you review with us the tax rate assumptions. I believe last quarter you raised the tax rate guidance or it went from a tax rate, I believe, of 5% to 10% to a 15% to 25% benefit. I understand, obviously, a lot of it is driven by lower pretax number and some other incentives, but is there any change to that 15% to 25% benefit as you've adjusted your EPS.
Roy Templin: Couple of things, Michael, first of all your assumption is correct in terms of the impact of the lower EBT. In fact, to sort of put that in perspective, if you took the composition of the components of what end income tax expense a year ago second quarter and you simply overlaid this year's EBT of 64 versus last year's of 130, what you'd find is the rate would be minus 35%, which was the same as we experienced in the second quarter of this year. So you're assumption first of all is correct. Secondly, from an overall guidance perspective, which goes back to the second part of your question, at this point in time, I would expect the rate be 25 to 35 benefit. So in other words, that's at 10 point improvement from where we were on the last call. Again, I'm a little bit cautious here, Michael, because at these EBT levels, changes in BPX credits, changes in energy tax credits and, of course, any delta in our EBT, they all tend to have sort of a dramatic effect on the overall rate on a relative basis. But at this point in time, we would estimate the full year at minus 25 to minus 35, and we would anticipate the third quarter rate would be somewhat similar to what we had in the second quarter. As you know, we had minus 27 minus 35, so at midyear we're at minus 31 on a blended rate perspective. I don't expect the third quarter to be significantly different from that with what we know today.
Michael Rehaut – JP Morgan: And the driver of that more just being BCX or are there other tax planning initiatives that have come through?
Jeff Fettig: Is your question, Michael, in terms of the improvement in our rate for the year?
Michael Rehaut – JP Morgan: Right.
Jeff Fettig: The improvement in the rate for the year comes, you're right, two areas. One, we're now assuming higher energy tax credits that will be earned here in the U.S. based upon the mix of business that we're seeing in North America. You're also correct in we are assuming lower BPX tax credits, which of course, has an impact on the rate going the other way. You're right. Those are the principle drivers of that delta.
Michael Rehaut – JP Morgan: Any change in terms of your thinking for 2010. I believe we still had in our model kind of the midpoint of a 5% to 10% rate. Given the changes this year, any update to that thinking?
Jeff Fettig: At this point, Michael, I'm not ready to project a rate next year. Again though I will say as a reminder that we do anticipate earning energy tax credits next year, so obviously that will have a reduction in what would otherwise be sort of the intuitive statutory rate here in the U.S. in specific.
Michael Rehaut – JP Morgan: The price mix which was hit on before, you're expecting a sequential decline of 20 to 30 BIPS. If you could just kind of perhaps to the extent possible give us color of what's driving that, if that's North America or other regions? And also on an overall basis, I think you said that in terms of guidance last call slightly less than a positive 2% impact. Current guidance is that closer to 1% now, you said slightly lower than before, just some color there.
Jeff Fettig: The biggest issue now is we're comping against quarters where we had price increases, and that's one.
Roy Templin: Jeff, if I may. Just to sort of quantify that, Michael, Q3 a year ago we had 2.5 points favorable price mix, Q4 2.7 points in favorable price mix as a result of the pricing actions we took in the back half of the year. Sorry to interrupt, Jeff.
Jeff Fettig: So it's not necessarily that it's a big decline, it's just the comp is different. For the full year, I think in the guidance perhaps you weren't clear, but the full year we talked about around 2% and now we're looking at about 1.5% for the full year.
Michael Rehaut – JP Morgan: Any driver to that change that you can breakout?
Jeff Fettig: I mean half a point on the full year for us, Michael, simply a lot of it its mixed business. I mean North America is less and Asia is more, and so on and so forth. In our total global country, brand and product mix, that's not a big change for us.
Operator: That's all the time that we have for questions today. This does conclude today's conference call. We do appreciate your participation. Have a great day.